Operator: Ladies and gentlemen, thank you for standing by. Welcome to Enerpac Tool Group's First Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterward, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, December 21, 2021. It is now my pleasure to turn the conference over to Bobbi Belstner, Director of Investor Relations and Strategy. Please go ahead, Ms. Belstner.
Bobbi Belstner: Thank you, operator. Good morning and thank you for joining us for Enerpac Tool Group's first quarter fiscal '22 earnings conference call. On the call today to present the company's results are Paul Sternlieb, President and Chief Executive Officer; and Rick Dillon, Chief Financial Officer. Also with us is Barb Bolens, Chief Strategy Officer. Our earnings release and slide presentation for today's call are available on our website at enerpactoolgroup.com in the Investors section. We are also recording this call and will archive it on our website. During today's call, we will reference non-GAAP measures such as adjusted profit margins and adjusted earnings. You can find a reconciliation of non-GAAP to GAAP measures in the schedules to this morning's release. We also would like to remind you that we will be making statements in today's call and presentation that are not historical facts and are considered forward-looking statements. We are making those statements pursuant to the safe harbor provisions of federal securities laws. Please see our SEC filings for the risks and other factors that may cause actual results to differ materially from forecasts, anticipated results or other forward-looking statements. Consistent with how we've conducted prior calls, we ask that you follow our one question, one follow-up practice in order to keep today's call to an hour, and also allow us to address questions from as many participants as possible. Thank you in advance for your cooperation. Now, I will turn the call over to Paul.
Paul Sternlieb: Thanks, Bobbi and good morning, everyone. Thank you for taking the time to join our Q1 earnings call. I want to start by saying that I'm truly honored to be leading Enerpac Tool Group into the next phase of our journey, focused on growth and margin expansion and I'd like to thank the Board for this amazing opportunity and Randy Baker, our former CEO, for his support in helping to ensure a smooth leadership transition. While I've met or spoken with many of you, I am looking forward to meeting more of our shareholders in the coming weeks and months. I'd like to share some of my perspective on what makes Enerpac such a great company with so many wonderful opportunities and what attracted me here. What I observed in my research on the company when I was initially contacted was a strong foundation with an unparalleled brand known for safety, precision, durability and reliability, a company with exceptionally strong market positions, a very experienced team, global breadth, coupled with a very sizable distribution network, a strong balance sheet and a company where the heavy lifting of portfolio work is now done, where we have successfully navigated through the pandemic and where we are well positioned for growth. In my short time with the company, I have been pleased to have confirmed all of that and more. What excited me about the company before joining is still very much what excites me today. In my initial days at Enerpac, I have spent much of my time visiting our facilities, meeting our team and visiting with distributors and customers. The feedback has been very positive. It's clear that we have many strong capabilities and our customers and distributors value the products and services we offer. And while we've done a lot of work since the EC&S divestiture on structure, growth drivers and productivity, I also see many more opportunities to become an even greater company with stronger execution and more consistent delivery of results. To better understand the opportunities in front of us, we are performing a deep dive holistic review of the business, looking at both growth opportunities and further operational improvement and productivity opportunities. We're also looking for ways to simplify the business through the lens of 80/20, standardize our processes and drive accelerated growth. With that, let me address some of the additional observations and key objectives that I shared with our team. First, we intend to maintain a high degree of focus and discipline in what we do and how we operate. That means continuing and accelerating our pure-play industrial tool strategy and updating that strategy along with the underlying initiatives that will enable us to consistently deliver best-in-class returns through growth of our core businesses. Our organic growth will come through commercial execution initiatives, innovation and new product developments. And while in their early stages of development, I expect our digital and IoT initiatives will offer us unique opportunities to be more closely connected to our customers. We're also doing more work on driving growth in key vertical markets, where we have outsized opportunities for further penetration. Additionally, we'll maintain a balanced capital allocation framework, always through the lens of the shareholder and recognizing that we have many exciting opportunities for investment within our base business. We'll also look selectively at inorganic opportunities focused squarely on our pure-play tool strategy and maintaining appropriate discipline such that any acquisitions must meet our strategic financial and operational criteria. And we'll also continue to be focused on innovation that creates value based on meaningful voice of the customer and where we solve their biggest pain points and unmet needs. Finally, we'll continue to evaluate our cost structure in an effort to simplify and flatten our organization. And we'll pursue additional cost savings opportunities, including overhead cost reductions and further operational efficiencies to drive value for our shareholders. Towards the objective of simplifying our structure, we recently made some organizational changes with the departure of two EVPs, including the COO role. Additionally, as we announced earlier this morning, we hired a new EVP of Marketing and President, Americas, a newly combined role filling two other open leadership positions with one. These changes will enable us to create a more nimble and agile company and establish a strong foundation for growth. Now, let me turn briefly to an update on our markets and market conditions. Demand continued to be solid in most regions. As we anticipated, supply chain challenges persisted throughout the quarter and we announced additional pricing actions which Rick will cover in more detail. We returned to our normal Q1 seasonal trends which we expect to continue throughout the fiscal year. And typically, we see Q3 as strongest, followed by Q4, Q1 and then Q2. With that said, COVID variants are causing some continued restricted access to distributors and customers with challenges remaining around travel to certain regions or countries and in some cases, continued quarantine requirements that are impacting our ability to serve our customers and therefore our overall service utilization rates. I'll now provide some commentary on our regions including key verticals and notable channel trends. In the Americas, core sales improved solidly with approximately 20% year-over-year growth and we continue to see recovery in several of our key verticals, including infrastructure, power gen and rail. The growth was driven by both product and service. And within products, we saw a broad-based recovery throughout our channel with national accounts outpacing others and broadly across our product set. The service increase was primarily related to specialty machining. Additionally, the heavy lift portion of our business continues to be positive with a high level of quoting and activity in the first quarter. In Latin America, mining continues to be strong, driven by continued elevated copper prices driving demand. We were pleased to see the activity given the continued COVID-related challenges in that region. Moving on to Europe; this region was the first to return to growth in the first quarter of fiscal '21 with strong sales in our heavy lift and wind-related projects, along with service work in the North Sea and Germany. The lumpiness of our HLT business created a tough comparable and as a result, the region was down mid-single digits. We have seen some nice opportunities arise, particularly related to bridge and construction work along with nuclear and wind projects. We anticipate that these trends will persist into the coming quarters given continued government spending and the focus on renewable energy. Now, moving to Asia Pacific. The region delivered approximately 10% year-over-year core sales growth. While COVID is still present, the region is starting to see less daily disruption and continues to trend to a -- toward a more positive outlook with the majority of the verticals that we serve starting to stabilize. We saw a recovery in oil and gas driven by higher oil prices and the expectation that energy demand will continue. In addition, mining and power generation were also positive in the quarter for the region. Moving to Slide 7 in the MENAC, or Middle East region, MENAC experienced modest core growth but continues to face challenging COVID-related travel restrictions that change on short notice and project delays that pushed out into the second quarter. From a vertical perspective, the stability in oil and gas pricing is providing confidence to some of our customers. As a result, we're starting to see an increase in spending and budgets being released for maintenance-related projects along with new large CapEx spend being awarded. This provides some level of optimism but overall, the vertical has not returned to pre-pandemic levels. Activity in power generation, particularly wind and construction were also positive in the quarter and supports our efforts to diversify the region's vertical penetration beyond oil and gas. Now, moving on to Cortland. The business experienced core growth of 32% year-over-year in the first quarter, continuing our trend from fourth quarter's growth of 28%. On the medical side of the business, the strong demand for our products continued, resulting in a significant improvement on a year-over-year basis. In the quarter, we completed the development phase and start production of components used in sports medicine and cardiovascular applications and we expect revenues from these products to ramp up through the current fiscal year. As for the industrial side of the business, order rates have improved but have not fully returned to pre-pandemic levels. Marine and industrial showed year-over-year growth while mining and oil and gas remained soft with limited project work in the Gulf of Mexico. Lead times have continued to improve throughout the quarter and are now at competitive levels. The business continues to work through supply chain and logistics challenges on a daily basis. With that, I'll hand it over to Rick to take us through the financials as well as an update on operations and supply chain. Rick?
Ricky Dillon: Thanks, Paul and good morning, everyone. So now let's recap our adjusted results for the quarter on Slide 8. Sales were $131 million, with core sales up 9% when compared to the first quarter of fiscal '21. Tool product core sales were up 12%. Cortland sales were up 32% year-over-year and service sales were down low single digits. Adjusted EBITDA margin was at 13.4%, a 120 basis points improvement over prior year's first quarter. Our tax rate for the quarter was 15%. That's down from 31% in the prior year and adjusted EPS of $0.16 was up from $0.09 from the prior year. Turning to Slide 9 for more details on our top line performance. Product sales volume increased roughly 10.5%, with 75% of the increase attributable to our tools product and the remainder to Cortland. Service sales are down slightly with increases in the Americas and APAC, offset by decreases in ESSA and MENAC. Pricing actions contributed almost $3 million to the top line, offsetting material and freight cost increases and we'll come back to pricing later. Our order rates continued to be solid in the quarter and in some regions ahead of 2019 or pre-COVID levels for the first quarter. Our shipments, however, are still impacted by supply chain issues that I will speak to shortly. Turning quickly to Slide 10. You can see the pressure wave. As expected, we returned to our normal seasonal sales pattern this quarter with our first quarter down sequentially from our fourth quarter. We expect our second quarter to also be sequentially down, followed by sequential growth in the back half of the year. As always, large service and heavy lift products -- projects rather can cause lumpiness in our trends. So let's move on to adjusted EBITDA on Slide 11. Prior year first quarter results reflected temporary cost-saving actions in response to COVID that yielded approximately $6 million in savings, all of which are no longer in place. We did recognize an additional $1 million of international stimulus funds in the current year related to costs associated with prior year COVID conditions that were subject to audit. The 120 basis point margin expansion noted earlier reflects the year-over-year improvement in product volume. Manufacturing variances reflect the net favorable impact of volume on manufacturing absorption and service utilization. SG&A improvement reflects spending levels and cost reductions, including a cost benefit from our CEO transition in the quarter. So for the quarter, volume growth and operating efficiencies year-over-year more than offset the impact of temporary actions in the prior year. Lower margins on the mix of product and service sales this quarter, coupled with pricing actions that only offset cost increases, resulting in an incremental margin of 26%, below our targeted levels. Contribution margin on the incremental product volume was roughly 60% in the quarter, down from 67% in the fourth quarter of fiscal '21. Moving on to operations on Slide 12. As expected, the significant supply chain challenges, material cost increases and logistics constraints that we saw through the back half of fiscal '21 have not improved. We are working with existing suppliers to provide better forecasts, placing additional advanced orders and bringing second and third suppliers online to manage regional variation and supplier performance. Except for a few puts and takes, our on-time delivery performance has remained steady since the fourth quarter of fiscal '21. We did increase our inventories in the quarter as we continue to make forward buys that reflect long lead and transit times. These are carefully planned inventory buys to manage our backlog and position ourselves as best we can ahead of Chinese New Year. We are focused on our top-selling products and closely managing inventories associated with long lead time product that sits in our backlog. As we expected, our constrained backlog due to supply chain and logistics bottlenecks remained between $5 million and $6 million. We continue to expect that this level of past due backlog will remain with us as we head into the back half of our fiscal year. We will continue our focus on sales and operations planning and working with many of our larger national accounts and OEMs to gain an extended view of their demand in order to ensure complete and timely delivery in the current environment. Labor availability has remained stable for us. We have not experienced any meaningful constraints across all regions, including our service business. So let's come back to pricing now. We entered the fiscal year assuming $10 million to $13 million of supply chain and logistics headwinds for fiscal 2022 based on what we knew at the time. We announced pricing actions late in our fourth quarter which were to cover these known headwinds and, noted on our last call, the pressure on our EBITDA margins, at least in the front half of the year. As we expected in our fiscal 2022 first quarter, these pricing actions were able to offset inflationary pressures and increased logistics costs while putting the pressure anticipated on our incremental EBITDA margins. As we walked through on our last earnings call, our guidance assumes that we will see some moderation in supply chain headwinds in the back half of the year and coupled with an incremental pricing action in line with our normal historical timing, we expected to see 1% to 2% pricing realization for the year, substantially all of which would be recognized in the back half of our fiscal 2022. Accordingly, in December, we announced additional global pricing actions across all product categories in the mid- to high single digits effective January 1. Again, we are targeting 1% to 2% price realization, assuming some cost moderation in the back half. We will continue to monitor our incoming costs and if necessary, will implement further targeted pricing and/or surcharges to deliver the targeted price yield for the year. So, I will wrap up with liquidity on Slide 13. We used $8 million in free cash flow during the quarter, working capital increased by $18 million on increased accounts receivables and inventories. Accounts receivables increased by $11 million on timing of sales in the quarter, including final building on several large projects. As discussed earlier, increased inventories reflect planning and given increasing demand and extended lead times. Capital expenditures were $3 million in the quarter. In the prior year, we generated $7 million in free cash flow in the quarter on lower capital expenditures and a lower working capital build as we were emerging from the trough of our pandemic demand. Our leverage is at 0.7x, down from 1.9x in the prior year, reflecting $80 million in debt reduction over the course of last year, combined with a higher trailing 12-month EBITDA. We expect that our leverage will continue to improve in fiscal 2022 with continued year-over-year EBITDA growth as our COVID-impacted quarters drop off from our trailing 12-month EBITDA. We are well positioned from a liquidity perspective as we continue our strategy execution and disciplined capital allocation. With that, I will turn the call back to you, Paul.
Paul Sternlieb: Okay. Thanks, Rick. So we are reaffirming our full year guidance in terms of annual sales range and incremental EBITDA margins but we'll continue to monitor that based on evolving market conditions. We have some potential tailwinds that could help support growth, including the infrastructure bill as well as the potential for a faster recovery in supply chain and inflationary pressures than anticipated. With regards to infrastructure, we do participate meaningfully in several aspects of this broad end market, including roads and bridges, rail, commercial construction, electrical distribution, water, airports and port facilities. And our premium product offering is known for precision, durability and safety. With the strong brand reputation we enjoy, we believe we are well positioned to take advantage of increased government infrastructure spend, although we believe that most of that opportunity will be in our fiscal 2023. That said, we also face some potential headwinds for the remainder of our fiscal year, including foreign currency, further degradation in end market demand or customer access due to COVID or if we see further supply chain or logistics challenges or inflationary pressures. Before we open the line for questions, as I mentioned, I am incredibly excited to be onboard and enthusiastic about the future opportunities ahead of us. This is an exciting time to be part of Enerpac Tool Group and I am very much looking forward to the next steps in our journey. I'd like to conclude by thanking all of our Enerpac Tool Group employees around the world for their hard work and dedication to serving our customers despite the challenges they faced during the quarter.
Bobbi Belstner: Operator, that concludes today's prepared remarks. Please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Jeff Hammond with KeyBanc Capital Markets. Please state your question.
Jeff Hammond: Hey, good morning, everyone. Welcome aboard, Paul.
Paul Sternlieb: Thank you, Jeff. Good morning.
Jeff Hammond: So just on price/cost, it looks like it was neutral this quarter and I'm just wondering what you think plays out for the rest of the year in terms -- is your target to kind of hold the line on price versus cost or get to a price/cost positive? And just in that mid-teens product growth guide, how much price is in there based on what you've announced and some of the carryover?
Ricky Dillon: So we -- as I stated earlier, the price cost impact for the first quarter was neutral and we believe it will likely stay about neutral for the second quarter. The pricing we announced effective January 1 will give us that realization we're targeting of 1% to 1.5% price realization for the full fiscal year. So you'll see some price realization in the back half, price/cost neutral in the front half and you'll continue to see pressure on our EBITDA and incremental margins as a result of that.
Jeff Hammond: Okay. And then just maybe, Paul, if you could just expand on, you've announced some changes on simplification flattening the organization. Just where else do you see opportunities for that? And then just maybe where are the early opportunities from an 80/20 perspective?
Paul Sternlieb: Sure. So yes, I mean, obviously, we're early days here in kind of a broader assessment of the company and the opportunity set. And as I referenced on my prepared remarks, we're in the midst of kind of a holistic deep dive review. So we've already made, as we announced, some organization changes. And I expect we'll continue to look for opportunities how we can simplify and flatten the organization. And as we do, we'll certainly announce any changes that come. In terms of sort of some of the broader value creation levers that we're exploring, I do think there are a number of areas that we're looking at more closely. On the growth side, there's certainly opportunities in terms of commercial execution and effectiveness within kind of our current customer and channel set as we look at how we can implement stronger tools, processes and productivity. From an innovation perspective, that's certainly a hallmark of Enerpac and one that we'll continue to invest behind. We're going to focus broadly speaking on fewer, probably more impactful initiatives in advanced technology, R&D developments. And from a vertical market and end user focus, we're looking where we can identify more near-term markets where we're either under or unpenetrated and have the right to play so that we can build a stronger, what I call, high-win game plan. From a profitability standpoint, we have a number of opportunities, I believe, in terms of operational improvements and we've already talked previously about some of the manufacturing capacity review and footprint work that we have underway. We'll continue to look at pricing and discounting processes and we'll continue to look at our cost structure, as I talked about in my prepared remarks. So, 80/20 will certainly be a lens that we employ looking at our products, our channels and the processes that we use to run our business. And we do believe as the supply chain stabilizes over the coming quarters, there'll be more ample opportunities for global sourcing which is a function we really only stood up in the past couple of years. So those are a number of things that we're focused on kind of in our early days deep dive review where we see opportunities in the business.
Ricky Dillon: And then, Jeff, if you go back to your pricing question, I don't know if I answered all of it. So if I didn't, let me know here.
Jeff Hammond: Yes. I mean the only follow-up I would say is it seems like you're putting a bigger price increase than normal and assuming kind of normal price realization, so I just want to understand that better.
Ricky Dillon: So the guidance, for sure, assumed $10 million to $13 million of price in there. And then what we said is we price for realization in the back half. And didn't give that total number because it's contingent upon what we're seeing going on in the market by way of cost. So in the Q1, you saw about $3 million of price and about $3 million of cost. And if you kind of do the math, if we do nothing and the costs stay where we said it would, it'd be in that $10 million to $13 million. We are assuming a little bit of moderation but we're also saying we're going to take price to ensure we get to normalize -- what I call normalized realization for the year but it's going to all come to us in the back half. So we'll get some benefit from that in our EBITDA margins and incremental margins in the back half of the year, along with incremental volume.
Jeff Hammond: Okay, thanks so much guys.
Paul Sternlieb: Thank you.
Operator: Thank you. Our next question comes from Brendan Popson with CJS Securities. Please state your question. Brendan Popson, your line is open. Please unmute yourself, state your question. We'll move on to the next question, and that comes from Deane Dray with RBC Capital Markets. Please go ahead.
Deane Dray: Thank you. Good morning, everyone.
Paul Sternlieb: Good morning.
Deane Dray: Hey Paul, just a follow-up on Jeff's line of questions on the business review. The only thing I would ask is what's the time line? Because I get you're doing both a ramp-up for yourself, meeting folks, distributors, customers, everyone for the first time. But also the business reviews, I know that takes time. Are we looking at a multi-quarter process? And will there be potential portfolio moves that could come out of this? I know it's kind of hard to say because you're still in the early stages but a number of initiatives have been taken before you. So I'm just trying to get a sense of the time line, how disruptive and what kind of outcomes we should expect.
Paul Sternlieb: Right. So thanks for the question, Deane. So I think on time line, it will be rolling, right? I do expect every quarter; we'll be able to share some more specific updates. We are looking at the possibility of holding some sort of Investor Day in calendar 2022. That date has not been scheduled yet. But when we have more details, certainly, that will be forthcoming. And obviously, at that sort of event, we'd be able to share quite a lot more detail on our overall strategy, our thinking and our plans for the business. Our goal is to obviously keep any disruption to a minimum. We do have a business to run but we also want to take the opportunity to step back and evaluate where our broader opportunities are and look at the overall strategy of the company. From a portfolio perspective, as I referenced in my comments earlier on the call, really, the broader portfolio work is behind us now. And as we sit here today, we look at ourselves as a pure-play industrial tools and services business. We like the business that we have. We're going to look to grow organically and we will look selectively inorganically. So M&A will be a part of our strategy but we'll stay kind of pretty close to our knitting in terms of businesses that offer products, services or technology that would be highly complementary to what we do in the industrial tools and services space. So that's how we're thinking about it. But broadly speaking, any significant portfolio work is really done at this point.
Deane Dray: All right, that's really good to hear and I appreciate the time line. And then a lot of good color, specifics on pricing and just some follow-up there. Any sense since you've announced the January increases that there's been any pull forward of orders into the current quarter? And related, is there -- are you reaching a point of price elasticity demand disruption? Or is it still so far limitless? And I say that everyone across the sector has been able to increase pricing and say there's been no impact on demand but just maybe if we can get a fresh look of that from you guys, it would be helpful.
Paul Sternlieb: Sure. We've not seen any notable or meaningful pull forward into the quarter from our pricing. It was announced kind of just Thanksgiving time frame. So we haven't seen anything there. And then in terms of pricing, we obviously do a fair amount of work in terms of trying to understand elasticities but also just broader market conditions from our competitive and peer set with whatever publicly information -- publicly available information is out there. And we've not seen anything that would indicate that it's impacted our market share or our position in the market today. Obviously, these are unprecedented times from a supply chain inflationary perspective. And we see a lot of our competitors taking similar actions. I will point out that we tend to be kind of a first mover from a pricing standpoint in the marketplace. And generally speaking, we do see competitors follow suit. From a dealer perspective, certainly, we're cautious as we think about it. But so far, we've not heard of any significant concerns or pushback. And I think, broadly speaking, they understand the market conditions and they're seeing similar moves from their other partners and suppliers at this point.
Deane Dray: Great. And then, just last question. On end markets, it seems like everyone is still waiting for Americas oil and gas to start to pivot. We've seen oil pricing certainly improve but we've not seen it read through in project releases or MRO spending uptick in any meaningful way. I would love to get some color there specifically, if you could.
Paul Sternlieb: Sure. So we have seen some improvement in oil price, as you referenced. I think that is going to present some opportunities to us. Certainly, on the service side, we may have the opportunity to supply crews for service work at more short notice. We're staying close to our customers where we can take advantage of kind of emergent work as it comes up. We are seeing some of our customers in the oil and gas space, thinking about restarting projects that had previously been postponed. And I do think the sentiment is more positive in that vertical but we'll need to see them start taking action on those projects over time. From a more global perspective, outside Americas, we do have more oil and gas exposure in our MENAC region and that's been hampered in terms of our ability to get kind of service crews on site just given some of the COVID restrictions that I referenced in my comments earlier.
Deane Dray: Appreciate it. Thank you.
Paul Sternlieb: Thank you.
Operator: Our next question comes from Michael McGinn with Wells Fargo. Please state your question.
Michael McGinn: Hey, good morning, everybody. Welcome aboard, Paul.
Paul Sternlieb: Good morning, Michael. Thank you.
Michael McGinn: I just wanted to get an assessment of Slide 10. So kind of running middle of the road of pre-COVID levels but I think the assumption by -- at this point of the cycle where you guys have historically been, there have sort of been some sort of, I guess, restocking that would have pushed just above the normal seasonality of the business. Can you just comment on where we are in the cycle, you think, from a restocking standpoint and then what maybe hindrances have there been from the lead times that you previously discussed?
Ricky Dillon: So when you look at Slide 10, I think what we've been saying is the -- and this echoes Paul's comment, we are seeing nice flow-through of demand. We're not quite back to 2019 levels. And so we are continuing to grow in 2019 being the kind of the last pre-COVID first quarter. And so when you look at that pressure wave, some of the peaks on that pressure wave are 2019 level demand. So first, we are growing. When you come off of Q4 where we started to approach 2019 levels in Q3 and Q4, certainly from an order and a sales perspective. What we said last call is you were going to see us now trend more to our normal seasonality. And I think that's what you're seeing there. It's not an indicator of any slowdown, if you will, it's more of an indicator of us falling back into the normal seasonality plan. We have approached distributors and we talked about this last quarter of them willing to take on additional inventory. We're starting to see that but it's building. And you'll see it seasonally -- coming out of Q4 into Q1, we saw that year-over-year build. It's going to continue to expand as we go through fiscal 2022. So we don't -- it's not a slowdown. There's nothing hindering the demand. We're just falling back into a normal cycle pattern for us.
Paul Sternlieb: And Michael, it's Paul. I would add having met recently with a number of our distributors and particularly in the Americas region, I'd say the sentiment is pretty positive based on kind of general industrial demand. There's been some more momentum in the U.S., bigger projects opening up. I think the only kind of flip side to that would be any caution from the COVID variants and obviously ongoing supply chain pressures. But broadly speaking, I think the sentiment we're hearing is generally positive and favorable.
Ricky Dillon: And then just quickly on that Slide 10, that's a consolidated view. So it does include the impact of service. And as we noted, service is down, significantly down from 2019 levels. We are starting to see the sentiment around oil and gas prices but we do still have some COVID hindrances and being able to get some of these jobs started. We're optimistic. I think Paul talked about the optimism out there and just calling that out. And the service pressure wave is actually in the appendix. So the product one is 10, the service one is in the appendix, Slide 17. So when you look at our top line performance in total, that's what we're referring to when we talk about demand and normal cyclicality.
Michael McGinn: Got it. And to follow up on some of your model inputs, Slide 14, if I'm looking at this correctly, product went from low to mid-teens, service went to low single digit to mid and then you had another upward kind of tweak to the Cortland, other segment. But the full year range is unchanged. Are these tweaks related to pricing or some push into the second half from the first quarter? Just trying to get a finer point on why those end market targets or product line targets are raised but not the full year guide.
Ricky Dillon: I think really that is more just a function of how the quarters are shaking out. It -- we moved within the range but nothing significant to drive a change in that guide. So as we talked, we had some service shifting, we had mix of product, what's moving, what's not and a regional mix. So nothing -- it's not indicative of changes in any way. You do have the "final impact" of our pricing, so we do know what we've now put out there to drive realization so far. But again, holding the range, just reflecting the mix shift that happened as a result of how we're seeing the year shake out.
Michael McGinn: Got it. Understood. Best of luck. Thanks for the time.
Paul Sternlieb: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Brendan Popson with CJS Securities. Please state your question.
Brendan Popson: Good morning. Can you guys hear me?
Paul Sternlieb: Yes, we can. Good morning, Brendan.
Brendan Popson: Good. Sorry, we have a little power surge, I think I missed my first slot. So I just want to give a warm welcome to Paul, first off. And then I wanted to ask on just with your -- the full year guidance for revenue, reiterating that. It seemed like sales this quarter were a little below what we had expected and then you're calling for more normal seasonality going into Q2. So I guess can you just -- could you help us walk through the cadence on how you get to that revenue guidance? It feels like you might -- you would need a bit more upside than normal in the back half or like a bit more seasonality, if that makes sense, to recover to get to that range. So could you walk through the cadence on how you guys get there?
Ricky Dillon: I don't -- I guess, to answer your question, no, it wouldn't be an outsized growth in the back half. You'd have a strong Q3 and a moderate drop in Q4 but nothing that I would say is out of the ordinary. The thing we keep pointing out is when you get to the back half, you will start to see us work through the $5 million to $6 million of backlog in the back half. So that was assumed in the guidance by the time you got to the end of the year that we start to see that improvement. But other than that -- and even with that, it won't change the mix of activity in terms of -- by mix, I mean, the spread Q3, Q4. We do have pricing in there which is, as we talk back half of the year, 1% to 2% -- 1% and 1.5% realization. That is in there. But again, even with all those things, it still is a normal Q3; Q1 down, Q2 down, Q3 up, Q4 up. Demand is solid. Service is expected to rebound in the back half of the year. And I'm only just giving the color we gave when we walked through the guidance. So nothing unusual there, Brendan. It's more of just getting back to that normal pattern. And unfortunately, fortune or unfortunate, it is back-half loaded.
Brendan Popson: Okay. And it sounds like some of that is obviously services because the product sales are kind of where you would expect them but some of that coming back again.
Ricky Dillon: Yes.
Brendan Popson: It's a part of it, too. Okay, great. And then on -- I was looking at your adjusted EBITDA waterfall. Your COVID initiative costs were -- I think they were like $9 million last quarter. And this quarter, they are $5 million which obviously is going in the right direction. I just want to reiterate, you might have answered this on previous calls. Is most of that costs just absenteeism with like positive tests? And then my other question is, do you have any thoughts on how we could think about that costs in the next couple of quarters?
Ricky Dillon: So -- and I apologize if we weren't clear. The COVID costs that you see there are temporary actions we took last year first quarter. So it was a positive $6 million last year. And in the walk, we're just showing that those actions went away. So it's a negative $5 million. The favorability has been all of the other things we talked about. And so the messaging is, last year, to all of those actions, we had about $6 million worth of costs that we cut out. Despite all of that temporary stuff coming back at us, full blow, we were able to overcome that through volume growth and other cost actions and the favorable impact on our facilities. So, none of that is indicative of any labor or COVID-related problems this year. I think as Paul mentioned in his script, the place where we -- showing up in the P&L where we might still be seeing that is service utilization. That is more so from our ability to mobilize service work in certain regions and certain jobs being a little bit delayed. But other than that, that's the largest COVID specific other than obviously COVID impact on volume altogether.
Paul Sternlieb: Right. And I would just add, as Rick mentioned in his comments earlier in the call, we've really not had any notable labor availability issues in our business. So that's not been a negative COVID impact for us. It's -- the COVID impacts are what you referred to which is service utilization and mobilization and the non-repeats of the benefits last year and obviously, the supply chain inflationary and logistics pressures that we're seeing.
Brendan Popson: Okay. So not much of those costs are repeating because it sounds like year-over-year, it's all -- well, were working against you but obviously, that's a positive thing.
Paul Sternlieb: Yes, correct. Absolutely.
Brendan Popson: Okay. And I think that's it for me. Thank you.
Paul Sternlieb: Thank you.
Operator: Thank you. There are no further questions at this time. I'll turn the floor back to management for closing remarks.
Paul Sternlieb: Okay. Well, thank you for joining our Q1 earnings call today. Have a good day and best wishes to everybody for a wonderful holiday season and a happy new year. Take care.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a good day.